Operator: Greetings and welcome to the Viemed Healthcare, Inc. Fourth Quarter Year End Quarterly Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Trae Fitzgerald, CFO. Thank you. You may begin.
Trae Fitzgerald: Thank you, and good morning, everyone.
Ryan M. Langston: Please note that our remarks on this conference call may include forward-looking statements under the U.S. federal securities laws or forward-looking information under applicable Canadian securities legislation, which we collectively refer to as forward-looking statements. Such statements reflect the company’s current views and intentions with respect to future results or events and are subject to certain risks and uncertainties, which could cause actual results or events to vary from those indicated in forward-looking statements. Examples of such risks and uncertainties are discussed in our disclosure documents filed with the SEC or the securities regulatory authorities in certain provinces of Canada. Because of these risks and uncertainties, investors should not place undue reliance on forward-looking statements. The forward-looking statements made in this conference call are made as of today, and the company undertakes no obligation to update or revise any forward-looking statements, except as required by law. The fourth quarter financial supplement and financial news release, as well as the related financial statements, are available on the SEC’s website. I will now turn the call over to our CEO, Casey Hoyt.
Casey Hoyt: Thank you, Trae, and good morning, everyone. I appreciate you joining us. Today, we will recap our 2025 performance, discuss the progress we achieved strengthening the platform, and outline how we see the business evolving as we enter 2026. 2025 was a milestone year for us. We delivered record revenue and record adjusted EBITDA, generated significantly higher free cash flow, and made real progress diversifying the business in ways you can clearly see in our results. We are building Viemed Healthcare, Inc. into a cash-generating home care platform with multiple growth engines, and we continue to differentiate ourselves through our high-touch clinical model and technology-enabled approach as we scale. As we move into 2026, we are doing it from a position of strength. We continue to execute well. We are seeing good early signals in the business, and we feel great about the long term in front of us. You can see that in the momentum continuing to build in sleep and resupply, the progress we are making in maternal health, and the way our technology investments are helping us operate at a higher and more capable level across the platform. None of it happens without our people. I want to thank our team for the compassion, professionalism, and commitment they bring to patients every day. We continue to build our workforce in a disciplined way, including developing talent pipelines through Viemed Healthcare, Inc. staffing and integrating new team members from acquisitions. We ended the year with 1,382 employees across the country, and I am proud of how consistently they deliver high-quality care and execute with integrity. That level of commitment matters most when caring for chronically ill patients in the home, and it is at the core of our complex respiratory offerings. In-home ventilation drives real and significant outcomes for patients, and we continue to see a meaningful long-term opportunity here given the underserved and underpenetrated population coupled with the increasing clinical demand. During the fourth quarter, we did see some moderation in ventilator patient growth; it is largely what we expected. The industry is continuing to work through the updated national coverage determination, and the changes are twofold. First, there is a natural operational effort when implementing new documentation and process requirements under the NCD. Our team and processes at Viemed Healthcare, Inc. were well ahead of the curve and proactively addressing the new requirements. The Engage patient platform, which is our proprietary technology deployed in the homes of our patients, has played an instrumental role in providing data that helps our therapists manage and report on real-time compliance metrics. We have also spent significant time in the field re-educating our physician referral sources and patients on how these new requirements affect qualification and ongoing care. Second, the updated criteria mean some patients who previously may have qualified under the prior framework may not qualify today. What is critical to understand is that the underlying demand and clinical need remain strong. This is primarily a coverage and execution transition, and throughout 2025, we invested in the infrastructure to navigate it well. That includes strengthening our compliance capabilities, supporting physician education, and tightening our internal workflows to align with the updated requirements so we can serve the right patients the right way under the current criteria. More importantly, the move toward more objective criteria is something we have long supported. Our view is that, over time, the new NCD changes will reduce uncertainty across the system and ultimately put scale providers like Viemed Healthcare, Inc. in a stronger position. We are already seeing progress entering 2026. A number of patients who previously were denied coverage under more subjective Medicare Advantage criteria are now qualifying under the new NCD standards. Under the new NCD, we have had a 100% success rate at the administrative law judge level on the Medicare Advantage denials we have appealed, which reinforces the appropriateness of the patients we serve and the strength of our documentation. We are also seeing denials resolved earlier in the Medicare Advantage appeals process, which improves reimbursement timing and reduces uncertainty. January was one of the strongest new ventilator setup months in our history. That gives us confidence that, as referral partners get more comfortable with the criteria and our execution continues to improve, we will establish a more consistent growth cadence. So, in summary on the NCD, while there has been some short-term friction as the industry adjusts, the work we have completed early positions us well going forward and supports a long runway for growth in our complex respiratory market. More broadly, as we think about the regulatory environment, I also want to briefly address the recent CMS update regarding the next round of competitive bidding. Based on the categories identified by CMS, we do not expect the announced round of competitive bidding to apply to any of our current product offerings, including ventilators, or to have a material impact on our business. That said, the broader compliance and program integrity elements included in the update continue to favor scale providers with strong documentation, operational controls, and national infrastructure—areas where we have been tested for many years and we know we are well positioned. As regulatory clarity continues to improve, it creates a stable foundation for growth across the platform. That stability is allowing us to progressively move into areas that are scaling quickly, particularly sleep and resupply. What started as a complementary service has become a meaningful and accelerated growth driver for Viemed Healthcare, Inc. As of 12/31/2025, our PATH therapy patient count reached 34,528, which represents growth of 62% year over year. During 2025, new sleep patient setups increased 70% compared to the prior year. That growth reflects strong execution by our sales and operational teams and solid demand in the market. It also translates into a strong pipeline for future residual sales. We ended the year serving 36,561 resupply patients, up 49% year over year. As the patient base grows, more patients move into long-term resupply relationships, which creates recurring and predictable revenue over the life of the patient. We are encouraged with the progress, and we still see room to improve conversion rates and deepen patient engagement, which gives us additional runway heading into 2026. We are also experiencing real tailwinds behind this category. Obstructive sleep apnea remains significantly underdiagnosed, clinical awareness continues to increase, and broader conversations around metabolic health and GLP-1 therapies are bringing more patients into screening and treatment. Sleep is and will continue to be an important pillar of our growth strategy. That progress in sleep is a good example of how our platform is evolving. The Lehan’s Medical Equipment acquisition is another strong example of that continued evolution in action as we expand into maternal health. Since closing the acquisition of Lehan’s Medical Equipment on July 1, the business has performed well and integrated smoothly. The transaction has been accretive out of the gate, generating positive net income contribution in both quarters since closing. What excites us going forward is the ability to scale maternal health beyond Lehan’s original footprint. Lehan brought deep expertise in the category and a strong operating team. Viemed Healthcare, Inc. brings a national infrastructure we have built over many years, including payer relationships, clinical operations, intake, billing, and compliance. Together, that allows us to take what Lehan does well and expand it through the Viemed Healthcare, Inc. platform to reach more patients in more places. We began billing our first maternal health claim outside of the Lehan footprint late in the third quarter, and early signs have been very encouraging. In 2025, approximately $9,000,000 of our revenue was associated with maternal health products across existing Lehan markets and new Viemed Healthcare, Inc. markets. Maternal health further strengthens our diversification. It broadens our payer mix, reduces our concentration in Medicare, and adds another recurring DME category, making our overall revenue base more balanced and resilient. As we continue to build payer relationships, referral pathways, and operational capacity, we expect maternal health to become a more meaningful contributor as we expand in 2026. We view maternal health as a scalable extension of our platform and an important long-term growth opportunity for Viemed Healthcare, Inc. As we have scaled the business at a high growth rate, we are pleased with how well our forecasting process has performed. In particular, our adjusted EBITDA performance has consistently tracked in line with our expectations. The key driver has been the reliability of our highest-margin offerings, which have continued to perform to plan and provide a stable earnings foundation. While lower-margin offerings such as staffing can move around from period to period, that variability is inherent in the model and does not change the underlying earnings profile of the business. Overall, we view our track record of delivering against our adjusted EBITDA outlook as a highly valuable strength as we continue to grow Viemed Healthcare, Inc. into an integrated platform. Reflecting on our success, the reason we can grow and diversify the way we have is because of the processes we built over time and the strength of our operations every day. For nearly two decades, we have proudly focused on execution, clinical quality, and doing things the right way. At the center of that execution is our high-touch clinical model. Our respiratory therapists and clinical teams stay closely connected to patients in the home through frequent touch points, education, and monitoring. We support that with our proprietary clinical platform, which connects devices, clinicians, and workflows so we can improve patient adherence, clinical outcomes, and efficiencies as we scale. We also benefit from embedded relationships through our staffing business, which sustains relationships with hospitals and discharge pathways and supports a steady flow of opportunities across our service lines. We have invested heavily in the capabilities that matter in this industry—especially documentation, compliance, and reimbursement—so that we can operate effectively as coverage criteria evolve and scale new categories such as behavioral health with confidence. The other critical piece is our payer platform. We built a nationwide network of payer relationships and reimbursement capabilities over many years, and that foundation is difficult to replicate. It is a big reason we can expand into areas like sleep and maternal health and scale them more efficiently because the contracting relationships, operational processes, and reimbursement expertise are already in place. Put all the pieces together and we have a differentiated in-home-based care platform. That is what gives us extreme confidence we can keep growing, keep diversifying, and keep expanding cash flow over time. I will now turn the call over to William Todd Zehnder to walk through our financial performance and capital allocation priorities in more detail.
William Todd Zehnder: Thank you, Casey. I will begin with a review of our financial performance for the quarter and the full year, and then provide additional context around margins, cash flow, and capital allocation. In reviewing the financial results, all figures are in U.S. dollars, and our full results have been filed with the SEC. I will be referencing information available in our quarterly financial supplement, which can also be found on our Investor Relations website. For the fourth quarter, revenue was $76,200,000, an increase of 26% over the prior year. For the full year, revenue totaled $270,300,000, up approximately 21% compared to 2024. The growth was broad-based, reflecting continued organic expansion across our core service lines and the contribution from the Lehan acquisition during the third and fourth quarters. Looking at the components of that growth, equipment and supply sales were the largest contributor, increasing by $19,400,000, or approximately 63% year over year. That growth was driven primarily by continued expansion in sleep resupply and the addition of maternal health following the Lehan acquisition. Ventilator rentals increased $12,200,000, or roughly 10%, reflecting higher patient volumes and solid demand. Our other non-vent HME rentals increased by $9,700,000, or 20%, supported by growth in PATH, oxygen, and airway clearance therapies. Services revenue increased by $4,800,000, or about 24%, driven mainly by continued growth in healthcare staffing. From a mix perspective, the diversification is clear. Ventilation moved from 56% of revenue in 2024 to 51% in 2025 as other categories scaled at a faster rate. Sleep increased from 16% to 20%, and maternal contributed approximately 3% of revenue in 2025. Outside of those areas, mix was relatively stable. So, while ventilation remains a significant component of the business, revenue is becoming more balanced across multiple service lines, consistent with our strategy. For the fourth quarter, adjusted EBITDA totaled $18,200,000. For the full year, adjusted EBITDA was a record $61,400,000, representing a margin of approximately 22.7%, which has remained stable and is expected to remain at a similar level as we move into 2026. Gross margin for the year was just under 58%. We are not seeing structural margin deterioration as the business diversifies. While sleep and maternal health have a different margin characteristic than ventilator rentals, those differences are being offset by operating efficiencies, scale benefits, and disciplined expense management. We continue to see operating leverage within SG&A as revenue scales, even as we invest in technology and platform expansion. Turning to cash flow, performance improved meaningfully in 2025. Net cash provided by operating activities was $51,900,000 for the year. After net CapEx of approximately $23,800,000, free cash flow totaled $28,100,000 compared to $11,600,000 in 2024, more than doubling year over year. In the fourth quarter alone, free cash flow was $10,800,000. Net CapEx represented approximately 10% of revenue for the quarter, and we continue to expect net CapEx to be in the 10%–11.5% range for the full year 2026. As the revenue base continues to diversify, a larger portion of growth is coming from categories that are less capital intensive. Over time, that supports lower capital intensity and continued expansion in free cash flow as we scale. Turning to the balance sheet, we ended the year with $13,500,000 in cash and approximately $46,000,000 available under our existing credit facilities. Long-term debt totaled $11,300,000 at year end. Net of cash on hand, we effectively had no net debt, which provides us with significant financial flexibility. Following the Lehan acquisition, we have already begun reducing the associated debt, supported by ongoing cash generation. The combination of low leverage, strong operating cash flow, and manageable capital intensity provides us with meaningful financial flexibility as we allocate capital across growth initiatives and shareholder returns. This brings me to capital allocation. As announced yesterday, our board has authorized a new share repurchase program for 2026. This authorization reflects our confidence in the durability of our cash flows and our long-term outlook. At current operating levels, we are generating meaningful free cash flow after capital expenditures, and we believe it is appropriate to return a portion of that capital to shareholders while maintaining flexibility for strategic investments. Our approach remains balanced. First, we will continue to prioritize organic growth investments that enhance our competitive position. Second, we will evaluate disciplined, accretive acquisition opportunities that expand our platform and meet our return thresholds. And third, when appropriate, we will return capital to shareholders through share repurchases. We view share repurchases as an opportunistic and value-oriented component of our capital allocation framework. Given our cash generation profile and modest leverage, we believe we can execute this balanced strategy without compromising growth. Current market dynamics present an attractive opportunity to execute on this buyback. Overall, we believe our capital structure and capital allocation priorities position us well to drive long-term shareholder value. Turning to our outlook for 2026, we are guiding to full-year net revenue in the range of $310,000,000 to $320,000,000. At the midpoint, that represents approximately 17% year-over-year growth, excluding any contribution from potential acquisitions. We are guiding adjusted EBITDA in the range of $65,000,000 to $69,000,000. EBITDA growth is expected to trail revenue growth on a percentage basis. That largely reflects the fact that 2025 adjusted EBITDA benefited from non-recurring items, including the $2,200,000 gain from the vent buyback program. On a normalized basis, the 2026 outlook reflects healthy growth in core EBITDA dollars and continued margin stability within our recurring revenue base. As we have discussed, we expect the quarterly cadence to be uneven. We anticipate the first quarter to be relatively flat to slightly down sequentially, reflecting the continued transition in complex respiratory documentation and the normal seasonality of the business. Beginning in the second quarter, we expect to return to a more normalized quarterly growth pattern with sequential growth in the range of approximately 3% to 5% throughout the remainder of the year. Our guidance assumes continued investment in technology, compliance, infrastructure, and platform expansion alongside disciplined expense management. We are not assuming a material change in our margin profile, and we are not building in aggressive operating leverage beyond what is supported by the current cost structure and our operating plan. Overall, our 2026 outlook reflects solid growth, stable margins, continued improvement in free cash flow, and disciplined capital allocation. With low leverage, strong liquidity, and a scalable operating model, we are in a very strong financial position as we enter 2026. While we do not currently guide to a free cash flow amount, we are comfortable saying that we expect to continue to generate a significant amount of free cash flow even after the aggressive growth that we are guiding. Before we open the line up for questions, I will briefly summarize what 2025 represented financially and how we are positioned going forward. We delivered record revenue and record adjusted EBITDA, maintained margin stability through a shifting revenue mix, and more than doubled free cash flow year over year. We ended the year in which we bought back 5% of the outstanding shares at an average price of $6.69 with effectively no net debt and significant liquidity, providing flexibility to invest in organic growth, pursue accretive opportunities, and once again return capital to shareholders. As we look to 2026, the combination of diversified revenue streams, stable profitability, improving free cash flow conversion, regulatory stability, and a strong balance sheet positions us well to continue executing our strategy. With that, operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. The first question is from Dave Storms from Stonegate. Please go ahead.
Dave Storms: Good morning. Just wanted to start with the expansion from the Lehan acquisition. Just curious as to what is at the top of your to-do list there. Is that going to be expanded payers? Is that going to be improving the sales force? What do you think is your priority number one to maintain that expansion?
Casey Hoyt: I will start that, and, Todd, you can fill in wherever you want to. Basically, all of those initiatives are important to us. I would say the payer initiative is more important. Getting the Lehan network expanded into the Viemed Healthcare, Inc. network of payers is underway. It is not as simple as just turning on each individual payer. There is a lot of research that goes into reimbursement rates for certain states, and we are strategically picking out the correct states to expand into. From there, it is onboarding that into the technology piece, which executes the breast pump sales. The second piece is yes, we are going to train some boots-on-the-ground sales folks. That is the Viemed Healthcare, Inc. way, if you will, and that is already underway. We are cross-training some of our sleep reps that are out and about and have the bandwidth to expand their referral sources. We will look to do that concurrently with building up the payer network. I would say the other thing that we are working on is this is a significant growth area. We are confident, on a percentage basis, it will be the fastest-growing product line for our company. We are making sure the back-office support from fulfillment and onboarding of patients can keep up with the rapid growth that we are putting around the country. There are a few different prongs, and we are proactively working on all of that with the Lehan management team, who are really guiding us around the country.
Dave Storms: That is great commentary. I appreciate that. You mentioned in there just expanded boots on the ground and cross-training sleep folks. Just curious, zooming out a little bit, what your thoughts are around your overall sales force and comfortability with training. Are you going to need to expand that, do you think? Any commentary there around your current sales force?
Casey Hoyt: That is correct. We have already begun cross-training our sleep reps. Our sales force at Viemed Healthcare, Inc. is somewhat segmented into complex respiratory, in which that sales rep would sell a vest, oxygen, and a combination of therapies, and would typically call on case management and pulmonologists, whereas we have another sales force for sleep calling on cardiologists and family practice, internal medicine—those types of contacts. It is really easy to bolt on OB-GYNs while they are out and about to call on the breast pump leads. Once it is the type of business that is turned on, it does not require much ongoing management. You just have to check in, make sure things are going well, and make sure your customer service is in line, and off you go. To circle back to your question, the training is underway. We have already got some reps out in the field in certain states where we are good to go with our payers. We will continue to expand that.
Dave Storms: Understood. Appreciate that. Last one for me. You mentioned that margins are expected to remain stable throughout the year. As your mix diversifies into more diversified revenue streams, how many more levers do you think you have available to pull to keep margins stable? Or do you believe that some of that margin stability is just going to come from increased volumes?
William Todd Zehnder: I think, at a net level, we have the continued opportunity to push on scalability in SG&A and the fixed costs there, really probably more than anything from a technology standpoint. Obviously, transactional volumes are going up with the evolution of diversifying this business. They do not have a per-dollar amount like the revenue from a vent patient, but the volumes are going up. So we have to get more efficient from a technological standpoint, and that would really be through the SG&A world. On the gross margin, our intent is to reduce expenses at a labor level that would keep gross margins relatively flat. That is an uphill battle, as vent gross margins carry a higher percentage amount, albeit with a higher CapEx amount that goes with it. At the end of the day, what we are really looking at is EBITDA margins and net income margins, and our goal is to try to keep gross margin as close to flat as possible.
Dave Storms: That is great color. Thank you for that, and I will get back in the line.
Casey Hoyt: Thanks, David.
Operator: The next question is from Ilya Zubkov from Freedom Broker. Please go ahead.
Ilya Zubkov: Good morning. Thank you for taking my questions. My first question is related to the guidance. Could you just elaborate on the key assumptions underlying your current revenue guidance across the business segments?
William Todd Zehnder: Our overall view is that we are not forecasting rapid growth this year as we are working our way through the NCD. We are not saying that vents are going to grow at the historical level that they have. With that being said, like Casey said in his prepared remarks, we are seeing a significant benefit in the first one to two months of new patient starts, so that is encouraging. But just with the uncertainty of the NCD, we are not forecasting an aggressive amount there. We are forecasting a pretty aggressive amount when it comes to sleep, a notional amount that is probably even larger than we forecasted last year. And then, like I said on the last question, maternal from a percentage standpoint is by far the largest, partially because we have a full year of the Lehan acquisition, so that is naturally going to give you a boost there. We are also modeling pretty significant growth within the Viemed Healthcare, Inc. contracts around the country, like Casey talked about a little while ago. To summarize it, the growth is across all product lines. It is going to be split between organic and a little bit of acquisition just because Lehan is there for the full year. If we get back to our historical growth rates, then that is just upside for us. And this assumes no net new acquisitions.
Ilya Zubkov: Thank you. This is helpful. I also noticed a sequential decline in the number of respiratory therapists during 2025. Could you walk us through how you determine when to add or reduce RT capacity and how the reduction in the last quarter may affect service revenue in 2026?
William Todd Zehnder: RTs are really driven by patient volumes, and sometimes that number will ebb and flow depending on whether we are going into new areas that do not carry as large of a patient-per-RT value. I do not know the exact sequential decline—it may be off a little bit—but it could be because we had more of our RTs in areas that have significant volumes, our established cities. Vent patients were relatively flat quarter over quarter with the adoption of the NCD. We would expect that number to continue to stay relatively in line on a patient-per-RT basis, and the hope is that those numbers both start growing again in 2026. That is the plan.
Ilya Zubkov: Great. Thank you very much.
William Todd Zehnder: Thanks, Ilya.
Operator: There are no further questions at this time. I would like to turn the floor back over to Casey Hoyt, CEO, for closing comments.
Casey Hoyt: Thanks, everyone, for joining us. We appreciate your trust in Viemed Healthcare, Inc. We will continue this positive momentum and look forward to a wonderful 2026. Everyone have a good day. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.